Operator: Good morning ladies and gentlemen, and welcome to the TransEnterix Third Quarter 2017 Financial and Operating Results Conference Call. As a reminder, this conference call is webcast live and recorded. It is now my pleasure to introduce your host, Mr. Mark Klausner, of Westwood Partners. Please go ahead, sir.
Mark Klausner: Good afternoon. And thank you for joining us for TransEnterix's third quarter 2017 conference call. Joining us on today's call is TransEnterix's President and Chief Executive Officer, Todd Pope; and its Executive Vice President and Chief Financial Officer, Joe Slattery. I would like to remind you that this call is being webcast live and recorded. A replay of the event will be available following the call on our Web site. To access the webcast, please visit the Events link in the IR section of our Web site, transenterix.com. Before we begin, I would like to caution listeners that certain information discussed by management during this conference call are forward-looking statements covered under the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those stated or implied by our forward-looking statements due to risks and uncertainties associated with the Company's business. The Company undertakes no obligation to update the information provided on this call. For a discussion of risks and uncertainties associated with TransEnterix business, I encourage you to review the Company's filings with the Securities and Exchange Commission including the Form 10-K for the year ended December 31, 2016, and the Form 10-Q for the quarter ended September 30, 2017, expected to be filed today. During the call we will also present certain non-GAAP financial information relating to adjusted net income and adjusted earnings per share. Management believes that non-GAAP financial measures taken in conjunction with U.S. GAAP financial measures provide useful information for both management and investors by excluding certain non-cash and other expenses that are not indicative of the company's core operating results. Management uses non-GAAP measures to compare our performance relative to forecast and strategic plans to benchmark our performance externally against competitors and for certain compensation decisions. Reconciliations between U.S. GAAP and non-GAAP results are presented in the tables that accompany our earnings release, which can be found in the Investor Relations section of our Web site. With that, it's my pleasure to turn the call over to TransEnterix's President and Chief Executive Officer, Todd Pope.
Todd Pope: Thank you, Mark. And welcome to our third quarter 2017 conference call. On today's call, I will start by discussing our recently announced Senhance FDA clearance. I will then turn it over to Joe to provide a financial update. I will then provide an update on our European commercialization efforts, our early progress on our U.S. commercialization, and our product development roadmap. We will then open the line for questions. On October 13, we announced the FDA clearance of the Senhance Surgical System, a significant milestone for company and the broader surgical robotics market, representing the first new entry into abdominal surgical robotics in the United States since the year 2000. Until now, surgeons have been approaching the boundaries of what can be accomplished with currently available laparoscopic technologies. In addition, these same surgeons are continually seeking ways to improve ergonomics in the operating room, utilizing innovative technology and a novel design the Senhance addresses both of these unmet needs. The Senhance was cleared for laparoscopic colorectal surgery, and laparoscopic gynecologic surgery, which encompasses 23 different procedures. This initial indication gives us immediate access to over 1.5 million annual procedures in the United States, and importantly, these colorectal and gynecologic procedures include use in benign and oncologic [ph] treatments within these two specialties. We're very excited about the opportunity that lies ahead in the United States for the Senhance, and we are now turning our attention to successful commercialization. With that, I would now like to hand it over to Joe for a financial update. Joe?
Joe Slattery: Thanks, Todd. For the three months ended September 30, 2017, we reported revenue of $183,000 primarily related to the recognition of deferred revenue related to service from pervious system sales. Cost of revenue was $921,000, which included overhead in the cost of our field service organization. R&D expenses in the quarter decreased to approximately $4.9 million as compared to the prior year period at $7 million, primarily due to the timing of costs related to FDA application activities. Sales and marketing expenses in the quarter increased to $4.5 million, from $2.6 million in the prior year period, primarily due to our commercial efforts in Europe as well as the build-out of our U.S. commercial infrastructure in anticipation of the Senhance launch. General and administrative expenses in the quarter increased slightly to approximately $2.9 million, from approximately $2.8 million in the prior year period. Non-cash charges related to warrants, amortization of intangible assets, and contingent consideration totaled $25.5 million in the quarter. GAAP net loss for the quarter was $38.5 million or $0.26 per share compared to a GAAP net loss of $12.3 million or $0.11 per share in the prior year period. Adjusted net loss for the quarter ended September 30, 2017 was $13 million or $0.09 per share compared to adjusted net loss of $11.3 million or $0.10 per share in the prior year period after adjusting for non-cash charges related to warrants, amortization of intangible assets, and contingent consideration. Moving on to the balance sheet, we finished the third quarter with cash of approximately $30.9 million, of which $6.4 million was restricted. Earlier this year, we completed an equity offering that included Series A warrants that expired 10 days after the announcement of the FDA clearance of the Senhance, as well as Series B warrants with a five-year exercise period. To date, all of the Series A warrants have been exercised, resulting in $24.9 million of proceeds to the company. We have also received $9.1 million in proceeds from the Series B and other warrants. In total, proceeds received since September 30 relating to the warrant exercises were $28.5 million. Also, in August, we also established a $50 million equity offering program, commonly known as an aftermarket offering. On October 31, we had concluded this equity offering, resulting in net proceeds of $48.5 million. As a result of these financings, our October 31, 2017 balance of cash and restricted cash totaled $100.7 million, and our common share outstanding as of November 3, is now 199.2 million shares. We have no plans to execute additional equity financings in the near-term. We believe that we are sufficiently capitalized through 2018 and beyond, and we are extremely well positioned for expanded U.S. commercialization efforts and have continued to invest in other geographies. Todd?
Todd Pope: Thank you, Joe. I would now like to provide an update on our EU commercialization. We continue to feel like our pipeline is developing and maturing in line with our guidance of the capital sales cycle in Europe in four to six quarters. I am pleased to announce that we closed the sale in Taiwan in September. This system is installed at the National Taiwan University Hospital, in Taipei, which will serve as a demonstration facility as the system does not currently have regulatory clearance in Taiwan. The regulatory approval process is well underway in the region, and we expect the clearance will occur in 2018. Revenues associated with this sale will be deferred until clinical use of the system commences. This is now the second sale we've made in Asia, and speaks to the high level of interest in the system, even in regions where we do not yet have regulatory approvals. Asia is a substantial market for robotics, not only due to their significant populations, but their eagerness to pursue advance technology. Japan is already the world's second largest robotics market, behind the United States, and other countries in the region continue to see significant growth and demand for robotics. Naturally this is an appealing marketplace for TransEnterix, and we will continue to evaluate commercial opportunities in this region. I'm also pleased to report that we've recently received an order for a system in Europe, which we expect to deliver in the fourth quarter, and we are optimistic about the potential of other opportunities that we are tracking. Now moving on to our U.S. commercial update; with the FDA clearance, we are now focused on driving the commercial adoption of the Senhance into U.S. As part of our initial launch, we have significantly expanded our commercial team, which now total 17 sales professionals. As our initial indications covered GYN and colorectal, we are targeting hospitals with a high volume of these procedures, and we feel that the team we have in place will be effective in covering our high priority target accounts. Similar to Europe, we expect the sales cycle to average four to six quarters in the U.S. Having said that, we had a strong presence of key global conferences, which has raised the visibility of Senhance; we have also hosted surgeons and executive team members from several U.S. hospitals at our customer sites in Germany and Italy as part of our U.S. market development efforts. On these visits, surgeons have had the opportunity to participate in preclinical labs and to observe live surgery, while helping the company hone our U.S. value proposition. As a result, we are optimistic that we'll have our first U.S. sale by the end of the year. The timing of our FDA clearance was excellent, given that two of the largest and most relevant surgical meetings of the year, The American College of Surgery and the American Association of Gynecologic Laparoscopy take place in October and November. ACS, which took place in San Diego, was very productive for our company. We were able to debut the Senhance to a large audience of surgeons and hospital administrators. The interest in the system was high. We had a steady stream of attendees in our booth throughout the week, and many signed up for hands-on demonstrations. On Tuesday evening, Dr. Dietmar Stephan, a General Surgeon from Siegen, Germany, presented his clinical results and experience with the Senhance. Of note, Dr. Stephan highlighted their technique and the data that is being collected on their use of the Senhance in Hernia repair, cholecystectomy, colorectal surgery, and foregone [ph] surgery. He highlighted an average docking time of eight minutes, which includes their learning curve for all procedures. He also stated their operative times are averaging just 28 minutes for inguinal hernia repair in their last 20 cases. These efficiencies have helped allow his hospital to perform as many as five Senhance procedures in one operative day. This experience supports our belief that Senhance can be used efficiently and widely at busy hospitals for a range of procedures. Dr. Stephan's presentation is available on the Events and Presentation page in the investor section of our Web site. And I would encourage those of you who are interested to watch it. Next week, the Senhance will also be featured at AAGL's Global Congress on Minimally Invasive Gynecologic Surgery in Washington D.C. Robotics will be featured prominently. So, this is a great opportunity for us to engage with the very focused group of GYN surgeons interested in advancing minimally-invasive gynecology, and introduce into the advanced feature sets and responsible economics that the Senhance provides. Moving on, I want to touch on our product development and regulatory strategy. Our strategy to expand our indications in the United States continues to be enabled by the procedures done throughout Europe. In 2017, we have completed over 350 procedures in Europe, including 25 first-ever procedures for the Senhance system. Among those procedures, we've now collected data on over hundred Hernia and cholecystectomy procedures, and we will be submitting this data to the FDA in the coming months. We will continue to leverage our rapidly-expanding clinical experience to support additional indications in 2018 and beyond. In Europe, we expect to start shipping an expanded suite of instruments in the coming weeks, including three millimeter instruments and clip appliers, brining our total product portfolio to 45 instruments. Looking ahead to 2018, we also expect to launch advanced energy and a suite of articulating instruments in both Europe and the United States. This portfolio expansion will also include the launch of three millimeter instruments here in the United States. Before I turn to Q&A, I'd like to reflect on our current position and the significant we have made since our last quarterly call. With the FDA clearance in hand, commercial infrastructure in place, and $100 million cash on the balance sheet we are incredibly well positioned to capitalize on opportunities in the world's largest robotics markets. And with that, I'd like to open up the line for questions.
Operator: [Operator Instructions] Our first question comes from Glenn Novarro with RBC Capital Markets. Your line is now open.
Glenn Novarro: Hi, good afternoon guys. Can you hear me okay.
Todd Pope: Yes, we sure can. How are you doing today?
Glenn Novarro: I'm very good. Couple of questions first, the sale in Taiwan, do you book it when they start using it or do you book it, the sale, once it gets approved in Taiwan?
Joe Slattery: Hi, Glenn, it's Joe. We'll book revenue on that when they start doing clinical cases after we get it cleared, regulatory clearance.
Glenn Novarro: Okay. So that would be some time in 2018, we should add something like that into the models in for next year?
Joe Slattery: Yes, we'd expect to recognize that revenue next year.
Glenn Novarro: Okay. And then, Todd, did I hear you correctly, did you say you expected to sell a robot in the United States by the end of this year?
Todd Pope: Yes. As we stated, we've taken several accounts that have high interest over the year. They've traveled to Europe to be able to kind of begin that process to watch surgery, do preclinical labs. And that's resulted in being able to go a little faster than our typical start just post approval. So it's market development activities that resulted in a few hospitals that have been accelerated through the process, and we would hope we could close one of those by year's end.
Glenn Novarro: Okay, great. Congratulations there. And then just two more quick ones, the 17 sales professionals that you now have onboard, is that going to be the full number for 2018, or is there plans to continue to expand that sales force?
Todd Pope: Yes, that's a really good number for us. We worked pretty hard over the summer to prepare for the approval. If we did have it, we wanted those folks in the field and trained. So with that we can cover the majority of the 20 largest MSAs in the country so we feel really good about that number and are not looking to expand that in the near-term. That a really ideal number for us to go out to the market with.
Glenn Novarro: Okay. And my last question, you've got a Center of Excellence down in Orlando, where I think in the U.S. the goal is to bring in surgeons and get them used to Senhance. So if that's the case can you maybe talk qualitatively about the traffic flow and the type of feedback you're getting through that Orlando facility? Thanks.
Todd Pope: Sure. I think it's important for us to be able to have people to come in, hear the story, be able to see the system, get their hands on it, both in a dry lab and in a preclinical setting. We can do that both here, in our headquarters in Research Triangle Park, North Carolina, and now we can do it also in Orlando, down in Florida Hospital's facility. So they're two places that are fairly easy to access. I would just say that each week both of those locations are busy throughout the week with both surgeons and hospital executives that are interested in coming down and understanding the platform more. So we're off to a good start.
Glenn Novarro: All right, great. Thanks for taking my questions.
Todd Pope: Thanks, Glenn.
Operator: Thank you. And our next question comes from Rick Wise with Stifel. Your line is now open.
Rick Wise: Good afternoon everybody. Congratulations on the European order, and the possibility of the U.S. one. Todd, maybe you'll talk to us a little bit about price. And the European order, was it a full-priced sale? And you're optimistic that you could have the first U.S. order. Again, are these normal full-price kinds of offerings at the kind of levels that you've been thinking about?
Todd Pope: Yes, Rick, in Europe, the order that we referenced will be at the pricing levels that we posted previously over there in Europe, so in line with those pricing expectations, yes.
Rick Wise: And I know you don't have the U.S. order, but we should think you're feeling good about holding the line on price as you go forward?
Todd Pope: Yes, I mean, we've been in the early discussions talking about our price coming right in below like $1.5 million, that's been pretty consistent for us in that area. And that includes instrument trays also. We get most of our conversations around per procedure pricing. As we've talked about many times, hospitals buy [ph] capital, certainly mini robots have been purchased throughout the United State, in the world. That's something that happens quite frequently every quarter as we all see. The questions that we get involves with more our per-procedure pricing, can we try to get similar pricing as laparoscopic surgery or just a slight premium, and that's where most of the reimbursement for the procedures that are being done day in and day out falls, and that's where hospitals feel like they can really proliferate more utilization with robotics. So that's where more of the questions, and frankly the excitement in these early days are coming from.
Rick Wise: All right. Again, I know it's early, but has U.S. FDA approval changed or accelerated any of your discussions in Europe, and should that kind of positive reaction at all make us a little more optimistic about the outlook?
Todd Pope: Yes. I think any time you have a young company that is beginning to commercialize the two questions you frequently get, in addition to the technology is, do you have regulatory approval in the largest market for robotics in the U.S., and now we have that. And that's certainly comforting to those folks. And I think just continuing to see a strong balance sheet is very important. And I think both the FDA approval was met very positively around the world where we're talking to customers. And I think after today's call, when they understand cash on hand for the company it's going to continue to accelerate our progress.
Rick Wise: And I hate to ask you a question about 2018, but I want to, so I will. It's early, I get that. But you're obviously more clearly starting to have visible success in Europe. You've got the 17 reps. Talk about '18 just sort of qualitatively at least a little bit. How much coverage of the U.S. market do the 17 reps give you? And both specifically and separately for the U.S. what kind of -- you're an experienced sales manager/leader, what kind of first-year productivity would you expect from your reps? Your European guys who will have had that four to six quarters of experience you talk about. What are you going to expect, and what should we expect from your U.S. team as well, some of whom have been on the ground for six months or so now?
Todd Pope: A few of them will be. And certainly some of these significant early interest accounts that are moving a little closer as we alluded to, potentially closing one by year's end have been with reps that have been out there a little bit longer and been able to do some market development with some early interested accounts. I think when it comes to capital equipment I don't the expectations are very different in the EU. I think typically if you talk to folks four to six quarter sales sale cycles is typical. I would say for us, we've seen significant early interest. As we know, it's the first robotic platform for abdominal soft tissue robotics in 17 years, so that interest is super high right now. Might that accelerate a few of those deals past the classic sales cycle? Yes, could happen in 2018, but I would say the majority of our folks are really just finalizing training post approval. They're just getting out there right now. It's a wide funnel right now, but I think as the calls go through in 2018 we'll get a lot better idea of how kind of sales are matriculating through the funnel. But we couldn't be any more pleased with the early feedback we're getting, not only the numbers of hospitals that are interested, but we have a lot of administrators that are very interested too. Robotics is a pretty important top line to many hospitals.
Rick Wise: All right. And just one last one from me, congratulations on the cash, that's certainly more cash than I expected. And you had said before that you thought -- I think at the last public call you had said you thought you were good through the end of '18. Now, Joe, you're adding the comment "And beyond." With the extra cash is this just backup in insurance or, no, we should imagine you might accelerate the commercial efforts in some way. How are you thinking about that now?
Joe Slattery: Yes, Rick, what I would say is we've got a strong plan to go after these markets. But it gives us the unique ability to be opportunistic if we -- in whatever circumstance, whether that's expanding the team, making an investment with a customer to do something more dramatic and get more deep into a market. So I think we have a lot of opportunities to accelerate the commercial efforts once we see the traction.
Rick Wise: Thank you very much.
Operator: Thank you. And our next question comes from Lawrence Keusch with Raymond James. Your line is now open.
Unidentified Analyst: Good afternoon. This is John in for Larry.
Todd Pope: Hi John, how are you doing?
Unidentified Analyst: Doing well, thank you. Congratulations on the order in Europe and potential sale in the U.S. as well. If we could start off with just in terms of utilization. I know you talk about kind of ramping towards 350 procedures from your existing base. Could you give a little bit more color in terms of numbers of surgeons that are using it, and maybe some of the unique procedures that are being used?
Todd Pope: Sure, that 350 number is what we've done year-to-date, so we think that we'll continue to calendarize that out and finish north of 400. Obviously if you do the math, I would say that on average, each one of our facilities has probably three different surgeons actively using the system. And that is usually in two to three different specialties depending. And you can imagine our CE Mark where we're doing our procedures in Europe, we have general surgery, GYN, thoracic, and urology. So the majority of those procedures up to this point have been in general surgery and GYN. And it really covers the scope. In our last call we kind of reeled off that 23 procedures were covered for here in the U.S., I won't put you through that list again. But a majority of those procedures have been accomplished. And we're still hoping to get some upper GI of volumes go into in a bariatric type procedure, so in addition to any reflux or GERD surgery. So we really feel confident with the breadth of surgeries that are being performed. We have four different countries, multiple specialties in accounts use in day in and day out over there, and I think that's really going to help build up our clinical data. So as we pursue our expanded indication strategy here in the U.S. we're going to have a nice stream human clinical data going into 2018.
Unidentified Analyst: Okay, great. That's really helpful. And then in terms of the next catalyst on the instrumentation side, it's our sense that advanced energy; vessel sealing is really kind of maybe the most important features of the next ones coming. So what's the regulatory pathway for that? And maybe for in Europe as well as in the U.S., do you expect clinical data? And then also just again on the Senhance itself in the U.S., when would you expect to get clearance for a fourth arm?
Todd Pope: Yes, for advanced energy we said in our call that 2018 we look at launch that both in Europe and in the U.S., and those are fairly straight-forward CE Mark and FDA 510(k) filings. And they typically do not require human data. Those are products that have lots of predicates out on the market, and that's fairly straightforward. And as we go through 2018, we are going to have an expanded indication strategy that will include a myriad of different things, instruments, procedures, and a forth arm very well may be categorized in our priorities in 2018. We're going to take a look. One experience set that I would give you is the majority of our cases in Europe where people have four arms are utilizing three. So we'll definitely pursue our indication strategy in 2018 based on pull and feedback from the market, but we feel great where we are today.
Unidentified Analyst: Great. And then as a follow-up to that, just maybe could you talk a little bit about the vessel seal that you're working with in terms of feature set and maybe how it's differentiated from intuitive?
Todd Pope: No, we're not really going into that right now. I just don't think it's wise to start talking with that specificity before regulatory approval. But we'll certainly give you a lot of color on that as we get closer to approval.
Unidentified Analyst: Okay, fair enough. And then last one from me. You also talked about, on the last call, setting up a registry in Europe. So, any update on timing there, and then maybe a procedure focus, if any?
Todd Pope: Certainly. We think we'll have that up and going in the coming months. We have most of the structure in place for that. And I think it's going to be able to cast a fairly wide net. We're not going to be limiting that to any particular specialty or procedure set. We're going to take a look at the broad usage that we have across our broad CE Mark, and we're going to start gathering data across all of those specialties. I think it's going to be helpful because we have a podium strategy, we have the publication strategy, and that's suited us very well so far this year, and that data will continue to feed into it.
Unidentified Analyst: Great. That's all from me. Thank you.
Todd Pope: Thank you, John.
Operator: Thank you, and our next question comes from Jeffrey Cohen with Ladenburg. Your line is now open.
Jeffrey Cohen: Hi, Todd and Joe. Thanks for taking the questions.
Todd Pope: Sure.
Joe Slattery: Hi, Jeff.
Jeffrey Cohen: I was wondering if you could discuss a little bit about the capital as well as the consumable sets, and where they're going to be assembled, final assembly, some of the systems builds and some of the builds on the [indiscernible] units, second would be occurring in Italy or North Carolina. What kind of setup there do you have, and what kind of volumes can you handle now and in the future?
Joe Slattery: Yes, Jeff, it's Joe. For the initial launch in the U.S., we'll continue to leverage the existing supply network with the robots primarily -- most of the robot parts coming out of Italy. The instruments come from a variety of vendors. Most of them are in Europe. And so on the initial launch we'll get all that product here in the U.S. for delivery into the customer sites. Over time we'll evaluate what types of remanufacturing here we do or late-stage assembly. But we do have a very strong partner in Italy that can handle the volume that we need to deliver over the next couple of years. So we're comfortable with the supply chain that we have.
Jeffrey Cohen: Okay, got it. And could you give us a little additional color on U.S. in some of the hospital decision-making and their capital budgets. I'm assuming that a fair amount of them are on a fiscal basis, and there someone tells you this month or next month they'd like a unit, does that mean the money gets allocated but the actual purchase would be in '18 and the same thing of '18 into '19? How should we think about how these deals hit and when we may see press release that may not be correlated [ph] exactly with that quarter's first revenues? Could you talk about that a little bit?
Todd Pope: Yes, well I'll certainly say that hospitals fiscal cycles, sometimes they follow the calendar year, other times not. Typically, hospitals when then get excited about a system like ours and the interest is very high, they've already been thinking about it. We've just not been able to go out there and talk to them or pre-promote prior to approval. So now we're just going out there and engaging that high interest level. We've been able to talk to them about features and benefits. People have been able to hear surgeons from Europe at all the major shows talk about their clinical data and their experience. So, people have been thinking about it, but when they actually make a decision that they want to acquire Senhance often times that is a budget number that has to be put in their next fiscal budget. And depending on when you're talking to them that might be coming up in the coming months or quarter after that, it might be longer. And then sometimes we're going to deal with hospitals that have put aside a capital budge allocation whether it's for robotics or something else, they don't have to wait till the next fiscal cycle. So I would say, Jeff, if you've seen one of these deals you've seen one. They all are fairly unique. But I think the thing I would reiterate is robotics continues to grow at a great clip. I think the market is excited about having choice here in the U.S., and I think we'll keep you posted as concurrent calls happen of how our pipeline starts to shape up here in the U.S.
Jeffrey Cohen: Got it. But I guess for the U.S. it's possible you may have some sales or some sale numbers, but you may also be carrying a backlog number?
Todd Pope: Well may be. And depending on how our pipeline matures is -- if we'll discuss that or not. But right now we're just focusing on getting out -- getting in front of this demand that we have, and making sure we can sit down in front of folks and then quickly get them in front of the system as quickly and efficiently as we can. But as calls go through 2018 our folks will be developing pipelines, we'll give you more color on that.
Jeffrey Cohen: Great. Thanks very much.
Todd Pope: Thank you.
Operator: Thank you. And our next question is a follow-up from Glenn Novarro, RBC Capital Markets. Your line is now open
Glenn Novarro: Great, hi, thanks for taking the question. I just had a follow-up on the new approvals for next year. Todd, did you say hernia chole, and if so, when do you think you would expect FDA approval next year. And then can you remind us the number of cases done for these indications in the United States? Thanks.
Todd Pope: Sure. We are planning on filing both hernia and cholecystectomy date in the coming months. And we would expect, I would just say as by way of comparison, our Senhance process was mid-April through mid-October, so six months. So we would expect it to be in line or potentially a little shorter than that for expansion indications. As far as number of those procedures, those are two of the larger procedures done. You know, you combine them together; hernia and gallbladder, and you're up over two million procedures in the United States. And I'll remind you that our initial indication was right at 1.5 million for colorectal and GYN. So we fell like we're going to be in the wide sweet spot in '18 of a great number of procedures that are really going to be interested in a robotic system that gives them some differentiated features and some per-procedure economics that they could actually rationalize using these robots, the Senhance. So we're excited about it. We purposefully have chosen those, and we think those are going to be very beneficial for us.
Glenn Novarro: Okay, great. Thanks for taking my questions.
Todd Pope: Thank you.
Operator: Thank you. And our next question is a follow-up from Rick Wise with Stifel. Your line is now open.
Rick Wise: Hi, Todd, just a couple of follow-ups here, just to follow-up on Glenn's question about the data and everything. I think you said a hundred cases each for hernia and chole. Is that a lot, will it take a long time to pull that together? And you think FDA is going to accept European or they want U.S. data, just how do we think about that nuance?
Todd Pope: Yes, to clarify, that's a hundred on hernia, and chole we're a combined data, not individual. And I don't think the FDA typically has any problem accepting European data, certainly what we turned in with our first submission that we got approval on October 13. So we feel really good about -- we just feel good that we've got systems placed in multiple countries doing surgery every day across multiple specialties. I think it gives us a real rich clinical experience that we can gather and pull data from, and continue to go into 2018 on our expanded indication strategy.
Rick Wise: And post the American College of Surgeons, post the ACS meeting, is there any way you could quantify for us, Todd, any metric you could share with us that would give us a feeling for the kind of early interests -- I'm mean, obviously you are seeing it qualitatively. But is there anything you could say about our post-ACS demo pipeline schedule or some metric, some indicator that could point to the post meeting reaction and response.
Todd Pope: Yes, certainly. I would say that as we've headed throughout the summer there's been a lot of interest in Senhance for sure. As we talked about, some folks has actually made the commitment to go over to Europe to actually investigate it and see it for themselves. But until that approval came I think everyone still was cautiously optimistic. Post the approval, in mid-October, and I think going to the American College of Surgery, such a large meeting. I know you were out there, Glenn and -- Rick, and you got to see a little bit of that. I'll tell you, it was an exponential level of increase of people that actually wanted to get on a plane and go somewhere and be able to sit down and see the system. There's able to get a taste of it at the American College of Surgery, but not really be able to spend a half day or day on it in a dry lab, in a wet lab. So I would say that even though we have facilities here at our headquarters, the Research Triangle Park, and certainly have a capability of doing that down at Florida Hospital in Orlando, we are keeping those centers busy, pretty much daily since the ACS. And I think we're very fortunate to have AAGL just next week. That meeting is in Washington D.C. It's a drive from our headquarters here in RTP. And I think we are already getting some request from people that are going to be at that meeting from different parts of the United States that wanted to extend their trip on the East Coast and get down to see us here. So, I would say that a very robust pipeline albeit early.
Rick Wise: Thanks so much, Todd.
Todd Pope: Thank you.
Operator: Ladies and gentlemen, that concludes our question-and-answer session for today. I will now turn the call back to Mr. Pope for any remarks.
Todd Pope: Thank you very much, Operator. And I want to thank all of you again for joining us today. We look forward to updating you in our next quarterly call. Good evening.